Operator: Good day, and welcome to the Steel Dynamics First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's remarks, we will conduct a question and answer session and instructions will follow at that time. Please be advised this call is being recorded today, April 23, 2025, and your participation implies consent to our recording this call. If you do not agree to these terms, please disconnect. At this time, I would like to turn the conference over to David Lipschitz, Director, Investor Relations. Please go ahead.
David Lipschitz: Good morning, and welcome to Steel Dynamics' first quarter 2025 earnings conference call. As a reminder, today's call is being recorded and will be available on our website for replay later today. Leading today's call are Mark Millett, Chairman and Chief Executive Officer of Steel Dynamics, Theresa Wagler, Executive Vice President and Chief Financial Officer, and Barry Schneider, President and Chief Operating Officer. The other members of our senior leadership team are joining us on the call individually. Of today's statements, which speak only as of this date, may be forward-looking and predictive. Typically preceded by believe, expect, anticipate, or words of similar meaning. They are intended to be protected by the Private Securities Litigation Reform Act of 1995. Actual results may turn out differently. Such statements involve risks and uncertainties related to integrating or starting up new assets, the aluminum industry, the use of estimates and assumptions in connection with anticipated project returns, in our steel, metals recycling, and fabrication businesses, as well as to general business and economic conditions. Examples of these are described in the related press release as well as in our annually filed SEC Form 10-Ks under the headings Forward-Looking Statements and Risk Factors found on the Internet at www.sec.gov, and if applicable in any later SEC Form 10-Q. You will also find any reference non-GAAP financial measures reconciled to the most directly compared GAAP measures in the press release issued yesterday entitled Steel Dynamics reports first quarter 2025 results. Now I'm pleased to turn the call over to Mark.
Mark Millett: Well, thank you, David. Good morning, everyone. It's good to be with you on our first quarter 2025 earnings call. I will apologize in advance. I've got a crushing head cold, so if I sound a little rugged, please excuse that. With that said, our teams achieved a solid financial and operational performance in the first quarter. It's continued testament, I think, to our business model and performance-driven culture. Highlights included record steel shipments of 3.5 million tons and adjusted EBITDA of $448 million. Most importantly, our teams continue to operate safely. We've been successfully ramping up four new value-add flat-rolled steel coating lines, with the expectation of full earnings benefit later this year. These lines represent an additional 1.1 million tons of higher-margin product diversification. Further adds to our position of being the largest non-automotive coater in North America. The Sinton team gained considerable momentum in the quarter running at around 86% of capacity, and many times over 90%. The team also achieved positive EBITDA for the quarter, with expectations of a steep acceleration of profitability the remainder of this year. I'm very excited for the accomplishments that the team has made in the last six months. There's absolutely no doubt it is the mill of the future. And Barry will go into some more detail during his opening comments. Aluminum Dynamics successfully cast its first aluminum ingot in January at our Columbus, Mississippi facility, and in March at our Mexican satellite slab facility. We're extremely proud and excited for the teams. Everything is on schedule for the systematic commissioning of the rest of the lines with an expectation to ship commercial quality coils in June. Again, I'm proud of the entire Steel Dynamics team. They are the foundation of our company, and they continue to amaze me. We are singly focused on providing the very best for their health and safety. We continue building a world-class safety culture. In particular, our team's dedication to our take control of safety program is extraordinary. We're actively engaged in safety at all times, and at every level, keeping it top of mind and an active conversation each and every day. I'm continually inspired by the commitment our team members have for one another, and consider themselves family and challenge the status quo each day. That said, there always will be more to do as we drive toward a zero-incident environment. Theresa, would you like to give us some details on the quarter?
Theresa Wagler: Thank you, Mark. Morning, everyone, and thank you for joining us. I add my sincere thanks to the teams for another solid performance. Our first quarter 2025 net income was $217 million or $1.44 per diluted share with adjusted EBITDA of $448 million. First quarter 2025 revenue of $4.4 billion was 13% higher than fourth quarter sequential results primarily driven by record steel shipments. First quarter operating income of $275 million was 16% higher than sequential results, also related to steel volumes. As we discussed our business this morning, we continue to focus and execute on our transformational growth initiatives. Our steel operations generated operating income of $230 million in the first quarter, sequentially higher as record shipments more than offset metal spread contraction. With an average realized external steel price decline of $13 per ton and an average scrap price increase of $16 per ton. I do want to add my congratulations to the Sinton team. They've really turned a corner and I'm very excited for them. From a steel price perspective, as a reminder, approximately 75% to 80% of our flat-rolled steel business is tied to lagging contracts. Generally, on average, about two months in arrears. So the more recent increases in flat-rolled steel pricing will positively impact the second quarter. For modeling purposes, for the first quarter of 2025, hot band shipments were 1,093,000 tons, cold rolled shipments were 116,000 tons, and coated shipments were 1,403,000 tons. And as a reminder, we'll continue to see that coated volume action increase from a product mix perspective as the four new lines start to have full utilization. In the first quarter, they were still only utilized on average around 50% to 55%. For the first quarter, operating income from metals recycling operations was $26 million, improving modestly as volumes in ferrous metal spreads increased. We're the largest non-ferrous metals recycler processing and consuming ferrous scrap, non-ferrous aluminum, copper, and other metals. And we're growing in support of our increased steel capacity and soon-to-be aluminum flat operations. Through new and expanded supplier relationships and through the use of innovative new separation technologies. And I want to congratulate the Omnisource and NanoWell teams as they're increasing those separation technologies and we're actually adding capacity in the coming months. Our steel fabrication team achieved first quarter operating income of $117 million, lower than sequential fourth quarter results as realized pricing declined a modest 4% and shipments seasonally decreased. Our steel joist and deck demand remained solid with good order activity. March was our strongest order entry month in two years. Our backlog extends into the fourth quarter of 2025 and forward backlog pricing remains solid. Federal programs, manufacturing growth, and onshoring are expected to support domestic fixed asset investment and related flat and long product steel, and steel joist demand in the coming years. Pivoting to our aluminum operations, a quick reminder, as we finish constructing the aluminum facilities, non-capitalizable expenses are required to flow through SG&A. As a result, our SG&A in the first quarter was higher by approximately $37 million. We continue to have expectations to achieve positive EBITDA in the second half of 2025 for the aluminum platform and plan to operate the rolling mill at approximately 30% for the full second half of the year with an exit rate of 50% and 75% for the full year of 2026 with an exit rate of 85%. Construction is coming to completion and commissioning, progressing extremely well. Approximately $2.4 billion has already been invested through March of 2025 with the remaining $300 million forthcoming. During the first quarter of 2025, we generated cash flow from operations of $153 million which was reduced by an annual company-wide profit-sharing retirement distribution of $165 million. Excluding this payment, cash flow was $318 million in the quarter, with net working capital growing about $105 million as steel prices increased later in the quarter. We ended the quarter with strong liquidity of $2.6 billion and invested $306 million in CapEx during the quarter. For the full year of 2025, we still believe capital investments will be in the range of $800 million to $1 billion with the majority related to the completion of our aluminum and biocarbon strategic growth investments. As a reminder, our sustaining or what some call maintenance capital requirements are conservatively in the range of $200 to $250 million annually. Regarding shareholder returns, our cash generation is consistently strong based on our differentiated circular business model and highly variable low-cost structure. And confidence in our future. Our capital allocation strategy prioritizes high-return growth, with shareholder distributions comprised of a base positive dividend profile that's complemented with a variable share repurchase program. While we remain dedicated to preserving our investment-grade credit designation, our track record is proven and recognized. In the last five years, our average after-tax return on invested capital was 23%. And this was during a time frame of transformational growth and strong shareholder returns. We opportunistically accessed the investment-grade bond markets in March and issued $1 billion of unsecured notes comprised of a 5.25% $600 million ten-year tranche and a 5.75% $400 million thirty-year tranche. Using the proceeds to pre-fund a $400 million note that matures in June of 2025 and for other corporate purposes. We really appreciate the receptiveness of the credit investors for our offering. Allowing us an excellent outcome, and we sincerely thank you to all involved. A quick forecasting comment. As Aluminum Dynamics ends construction, so will the associated interest expense capitalization in the second quarter. So net interest expense in the first quarter was around $12 million. In the second quarter, it'll be closer to $30 million. And therefore, likely $40 million a quarter. Our free cash flow profile has fundamentally changed over the last five years from an annual average of $540 million to, most recently, $3 billion if we exclude aluminum and Sinton. Even if we include aluminum and Sinton, it's still over $2 billion per year. We've placed ourselves in a position of strength to have a sustainable capital foundation that provides the opportunity for meaningful strategic growth and strong shareholder returns while maintaining investment-grade metrics. We are squarely positioned for the continuation of sustainable optimized, long-term value creation. Thank you. Barry?
Barry Schneider: Thank you, Theresa. Steel fabrication operations had a solid performance in the first quarter. In fact, as Theresa mentioned, March represented the single highest month order entry volume in two years with momentum continuing in April. Our order backlog extends into the fourth quarter at attractive pricing levels. We continue to have high expectations for the business due to strong quoting and order activity, continued onshoring of manufacturing, recently announced significant privately funded manufacturing projects, and public funding for infrastructure, and other fixed asset investment programs. The long-term uplift from this backdrop could be considerable for all of our platforms. Our steel fabrication platform provides meaningful volume support for our steel mills critical in softer demand environments, allowing for higher through-cycle steel utilization. But also mitigates the impact of lower steel prices. Our metals recycling operations improved earnings in the first quarter as demand from North American steel producers supported higher ferrous scrap volume. The team also continues to grow its access to recycled aluminum in advance of our aluminum flat-rolled operations ramp-up. Ferrous scrap prices increased each month of the first quarter of 2025 before moderating approximately $40 per ton in April as weather improved supporting higher scrap flows. Currently, we expect prices to remain fairly stable throughout the year. The North American geographic footprint of our metals recycling platform provides a strategic competitive advantage for our steel mills and for our scrap-generating customers. Our metals recycling team is also partnering even more closely with both our steel and aluminum teams to expand scrap separation capabilities through both process and technology solutions. This helps mitigate potential risk of supply as more grades of ferrous and non-ferrous scrap become usable for our steel and aluminum operations. It also provides us with a significant advantage to materially increase the recycled content for our aluminum flat roll products and increase our earnings opportunities. The steel team had a strong quarter, achieving record shipments of 3.5 million tons. During the first quarter, the domestic steel industry operated at a utilization rate of approximately 75% while our steel mills operated at 89%. We consistently operate at higher utilization rates due to our value-added steel product diversification, differentiated customer supply chain solutions, and the support of our internal manufacturing businesses. This higher through-cycle utilization of our steel mills is a key competitive advantage supporting our strong and growing cash generation capability and best-in-class financial metrics. Regarding the flat roll steel markets, pricing and order entry have stabilized at levels much higher than we saw in the second half of 2024. However, there has been some hesitation with certain customers awaiting more market certainty. Overall inventories remain historically lean, but increased imports kept incremental buying at bay in certain product areas. Specifically for coated flat-rolled steel products. We levied a trade case related to these products in the third quarter of 2024 and we recently received favorable preliminary countervailing and dumping rulings. This has already slowed the imports of unfairly priced coated steel flat roll products. This along with the announced 232 tariffs should positively impact demand for lower carbon emission US-produced steel products. This positions us incredibly well as we are the largest producer of non-automotive coated flat roll steel products in North America. As for the long product steel market, it also improved in the first quarter with demand for most sectors stable or improving. Prices have increased over the last several months with solid order entry and improving backlogs. Persistent Texas flat roll mills production and reliability continue and improve. In the first quarter, operating at 86% utilization and at times over 90%. As Mark said, they achieved positive EBITDA for the quarter. We expect to see a significant increase in Sinton's earnings contributions as they continue in the second quarter and again in the second half of the year. As the team further improves yield, lowers their cost structure, and improves the cost of quality, we also continue to work on product development at Sinton to expand our existing flat roll product offerings. Currently, API pipe grades and high-strength steels are in various stages of development. The operations. Also, the additional two new value-added coating lines are increasing volume improving Sinton's value-added product mix and through-cycle earnings capabilities. Regarding the steel markets environment, North American automotive production estimates for 2025 were recently revised lower. Uncertainty due to the impact of recently discussed auto and auto part tariffs. However, there's ongoing discussions of these being softened as well. Fortunately, our specific automotive customer base has remained stable with us growing automotive market share of both flat roll and SBQ Steel. Nonresidential construction remains stable with slowdowns across some industries. However, as I mentioned earlier, we have seen pricing for structural beams, engineered bars, and merchant bars increase over the last several months. With expanding backlogs. Additionally, onshoring large recently announced domestic manufacturing projects, and infrastructure spending should provide further support to fixed asset investment and related construction-oriented projects. As for the energy market, oil and gas activity remained steady with recent signs of increasing activity for both flat roll steel and SBQ. We also see ongoing demand in the solar markets. Which we are very active in. Looking forward, we remain optimistic regarding steel demand and pricing dynamics for the remainder of 2025. With that, I'll surrender the microphone.
Mark Millett: Oh, surrendered. Okay. Thank you, Theresa. Thank you, Barry. Well, I think the last six months are a great example of the resiliency of our business model. A performance-driven team-based culture in combination with a proven, diversified, and value-add business model drives superior through-cycle financial metrics. Such consistently strong operating and financial performance continues to support our cash generation and growth investment strategies. Allowing a very balanced cash allocation strategy that has delivered the highest shareholder returns in our industry. Our disciplined investment approach continues to support a strong and growing through-cycle cash generation profile while maintaining the highest return on invested capital among our peers. Again, the four flat roll steel coating lines are increasing volume and performing very well from a quality perspective. These types of high-return investments are key to our value-added product and supply chain differentiation strategies. As we mentioned, Sinton continues to perfect its operational reliability and downstream operations. It was EBITDA positive in the first quarter, with expectations for a material positive shift in financial contribution this year. And most recently, our aluminum growth strategy is months away from contributing to our earnings. I think the aluminum investment premise is especially compelling and parallels our disruptive entry into steel years ago. We see a market environment in aluminum similar to the domestic steel industry back then. Older assets, high legacy cost burden, inefficient, high-cost operations. They've had difficulty earning their cost of capital, and hence little additional investment in facilities and technologies taking place. No significant expansion. The past forty plus years. But unlike our entry into the oversupplied steel market back then, there's a significant North American supply deficit for aluminum sheet. And it's growing. There's clear business alignment between our steel and aluminum operations. We're leveraging SDI's core competencies in construction and operational know-how and exploiting that with our performance-driven culture driving higher efficiency, lowest cost operations. It also leverages Omni's recycling footprint. Being the largest North American aluminum scrap recycler. Along with its new separation technologies. This meaningful investment is a cost-effective and high-return growth and diversification opportunity for us. And the project is no longer just a vision, but it's a reality. Construction of the expansive mill in Columbus, Mississippi nearing completion and is in the commissioning phase being executed at an extraordinary pace. The aluminum industry is finally realizing we're here. And we will be a force to be reckoned with. The customer base across all sectors is excited to have a new market entrant that is known to be innovative. Customer-centric, and responsive to their needs. For us, business relationships are long-term. Founded on trust and the continuous goal of creating mutual value. We strive to be a differentiated supplier each and every day. As our aluminum growth has become a reality and our reputation permeates the industry, aluminum professionals with vast experience have joined us in this exciting project. And it's exciting to see. They see the vision and are excited by our culture. They see that they themselves can make a major contribution. They're helping us build a phenomenal team. That combines in-depth knowledge of aluminum flat roll operations, commercial markets, and process technology along with customer service. Complementing our SDI professionals. That will bring our performance-driven culture to bear. As many of you know, the physical assets will be a state-of-the-art 650,000 metric ton aluminum flat rolled facility in Columbus, Mississippi. About 300,000 tons of can sheet, 230,000 tons eventually of foil, and 130,000 tons of industrial and construction products. We will in Columbus have on-site melt cast slab capacity of around 600,000 metric tons. Supported by two satellite recycle aluminum slab casting centers located in UBC scrap regions. Project scope includes additional scrap processing and new segregation technologies to maximize aluminum recycled content. The team is executing exceptionally well. The team successfully cast the first industrial and beverage can ingot in Columbus, Mississippi in January. And have since then been developing practices for the 3000 and 5000 series alloys. And in San Luis Potosi in March. They cast their first ingots also. We plan to continue commissioning throughout the facilities during the coming months, and to produce commercially viable products in June 2025. Production is expected to grow an exit rate capacity of 50% this year and 75% capacity for the full year of 2026. This is relative to cost differentiation. We expect through-cycle annual EBITDA of $650 to $700 million plus $40 to $50 million for the metals recycling platform. Most significant savings relative to our competition center on four key areas. Labor savings, higher recycled content, significant process yield improvements, and logistics. And while walking the plant floor, you can feel the excitement. Our teams recognize their ability to revolutionize the North American aluminum industry. As we did in steel. We're impassioned by our current and future growth plans, they will continue to drive the high-return growth momentum we have consistently demonstrated over the years. The earnings growth of these new projects is compelling, Capital spending for Sinton, the four value-add lines, and the Aluminum Dynamics facilities largely spent for the projected future through-cycle EBITDA contribution of some $1.4 billion or more. Steel Dynamics has grown to an incredibly resilient cash-generating business of scale and diversification. Driven by the best teams in the world. In the last five years, we've invested billions of dollars in organic strategic growth. Earned a return on invested capital of 23%, compared to the S&P 500 at only 12%. And certainly way better than our industrial peers. We've increased our cash dividend over 100%. We've repurchased over 30% of our outstanding shares over 40% since 2017. All the while maintaining best-in-class investment-grade credit metrics and creating outstanding value for our customers and suppliers. Our teams, and our shareholders. I'm excited as investors clearly see now the power and consistency of our through-cycle cash generation. Combined with our consistent and high-return capital allocation strategy. It is our belief that the steel industry has undergone a paradigm shift in recent years. There's a pervasive sense of Mercantilism that will provide a level playing field through continued and appropriate trade mechanisms. We've seen that in the recent coated flat roll steel positive trade determinations. Recent Trump administration steel and aluminum moves, the tariffs, risk mitigation to address numerous supply chain dislocations of accelerated reshoring and manufacturing. AI and cloud computing will support nonresidential construction, data centers, chip factories, and battery plants. But on a growing fixed asset investment associated with public and private dollars. Decarbonization will materially steepen the global cost curve. Providing Steel Dynamics with a significant competitive advantage. To gain market share and increase metal spreads. This evolving metals business environment should amplify our earnings capability. As you see, we are blessed with good fortune. Our people being our foundation. I thank each of them for their passion and dedication. We are committed to them. I remind those listening today that safety for yourselves, your families, and each other is the highest priority. I'll be remiss not to thank our loyal customers. Many of whom have supported us since our inception. As I said earlier, these partnerships are based on trust, on doing what we say we will do, and creating new solutions to enhance the value proposition. Our new and aluminum partners will experience the same. And also to our suppliers and service providers, who we value and trust. Thank you. Our culture and business model continue to differentiate our performance. Leading to best-in-class financial metrics. We're a circular metals business, providing enhanced lower carbon supply chain solutions and in turn mitigating volatility in cash flow generation through all market cycles. Providing enhanced shareholder returns and value to all participants. We look forward to creating new opportunities for all of us today and in the years ahead. So with that said, Holly, we'd love to open the lines for questions.
Operator: Thank you. If you would like to ask a question, please press star one on your telephone keypad. If you are using a speakerphone, please make sure your mute function is turned off to allow your signal to reach our equipment. If you pressed star one earlier during today's call, please press star one again to ensure our equipment has captured your signal. Also, we ask that you please limit yourselves to one question to facilitate time for everyone. Any additional questions can be addressed upon reentering the queue. Please hold while we poll for questions. Your first question for today is from Katja Jancic with BMO.
Katja Jancic: Hi. Thank you for taking my questions. Maybe starting on your raw materials or metallics needs, can you talk about how exposed you are to importing those?
Mark Millett: Sure. And perhaps, Barry, I'll just expand that a little bit because I'm sure the whole tariff and trade situation is of interest to everyone. I think the January path and trade actions today specific to steel and aluminum are extremely beneficial for us. One has to recognize even before that this present term, you know, that section 201, 301, anti-circumvention, other past cases are still firmly in place and prevent impact from China. I think the recent court case and I know I'm deviating from the raw materials, but just giving you a broad picture, you know, the recent court case which is the trade action against the coated steels is going to be very impactful. In fact, it's already impactful. It covers, I think, Barry, ten, you know, ten Asian countries. And about three, four million tons of dumped coated steel, and that will be very beneficial to us. And I think the derivative products actions are extremely beneficial. There are, I think, some two to three million tons of fabricated structural steel items coming through onto our shores. And that's an appreciable volume. You know, that market is probably somewhere six to eight million tons. And suppressing that will have a major, major impact for our long products platform. And then just generally, the tariffs on supply chains already is providing, I think, a positive momentum from a reshoring standpoint. Relative to raw materials in particular, obviously, scrap is not included. Today. And all my comments are as of today, one doesn't know necessarily what may happen in the days, weeks, and months ahead. But the scrap flowing across the border is not an impact to us. We bring about 700,000 tons of scrap in from Canada and about 100,000 tons up from Mexico. But that remains unaffected. P1020, which will be consumed in our aluminum facilities, the tariffs tend to be absorbed through the Midwest premium. And passed on to the customer base. So that has little impact. We will have a little impact from tariffs on pig iron if they remain in place. We just as we did at the onset of the Ukrainian war, when pig iron pricing went skyrocketing and availability was challenged. We increased our prime scrap and more importantly, our sort of what we call shred one, a low residual scrap and reduce that pig iron content or appetite. So then there will be reduced. And then there will be some impact on slab, aluminum slab coming up from Mexico. That'll be incremental this year because of, obviously, we're ramping up and the volume is not going to be very large. But I think, in general, we are well positioned relative to our peers. And I think it sets the stage for the renegotiation. You know, the USMCA gets renegotiated in 2026. I wouldn't be surprised if that got pulled forward. But I think there'll be a very, very positive outcome for the country when that occurs.
Katja Jancic: Okay. Thank you. I'll hop back into the queue.
Operator: Your next question for today is from Timna Tanners with Wolfe Research.
Timna Tanners: Yeah. Hey. Good morning. And I hope you're feeling better since. Wanted to ask if I could about what changed at Sinton from prior guidance. You know, you talked about not being able to have positive EBITDA than it was. And then if I could also, are you still looking to produce exposed automotive eventually there? Any updates, please, would be great. Thanks.
Theresa Wagler: Hey, Timna. Real quick. Can you just re-ask that first part of your question about what changed? Can you just clarify that a little bit?
Timna Tanners: Yeah. So initially, you had talked about Sinton not being profitable, I think, in the mid-quarter update. Or and then, in the results, you talked about it being profitable. So I just wanted to understand, you know, that and maybe what's improved there and can continue to improve going forward. Thanks.
Theresa Wagler: Okay. Thank you. So from a change perspective, I'm gonna let Barry get into the details of Sinton because we are really excited. That's why we congratulate the team, and hopefully somebody down there is listening. But from the perspective of what changed, we were just really trying to see where the end of the quarter fell out. And, obviously, they were more exposed to spot pricing than Columbus and Butler are. So some of the price appreciation on the flat roll side was actually able to be captured in the March time frame where it will be more lagging at Butler and Columbus. So it was nothing that was significant, but it was very exciting for us to have an EBITDA positive quarter heading to op.
Barry Schneider: And really, the team maturing and bringing the line utilization rates higher has allowed us to capture that market quicker. As Theresa mentioned. With the long-term projection of automotive exposed, we are very excited about the product we produce down there. I think it's early to be talking about exposed, but we are developing really good practices so that we continue to make our customers happy as we ramp the facility up and we introduce new products. So I wouldn't rule it out, but it's not something we're advertising at this minute.
Timna Tanners: Okay. Makes sense. Thank you.
Operator: Your next question for today is from Carlos de Alba with Morgan Stanley.
Carlos de Alba: Yeah. Sorry. I was on mute. Thank you very much. On the fabrication business, I think I've heard that March had the strongest order entry in two years. Does this mean that the volume that we saw in Q1 marked probably the bottom and it should increase from here and not, the second quarter, maybe the third quarter because we did notice that the shipments in the first quarter and I understand the seasonality, but they were the lowest, I think, since 2015 or 2017. On a quarterly basis.
Theresa Wagler: Thanks, Carlos. I'll let Barry add. What I would say is we've been talking about this. We talked about it kind of the whole quarter that for fabrication, the first quarter, because there was still some hesitancy around what was happening with the administration, what steel costs would be, where interest rates were, that there was some hesitancy on from a customer perspective of actually, you know, having those jobs proceed forward. And so we knew there'd be some open patches, if you will, and those generally get filled with smaller projects that have a little bit lower pricing dynamics. So we definitely are seeing strength in the second half of the year. As it relates to fabrication, and that's the momentum you're seeing in March and April. But I'll let Barry further comment.
Barry Schneider: Yeah. The activity we're seeing is robust, and it's the type of projects that we do very well in. With New Millennium. So we do see those projects materializing, and we also see some of the projects that have been temporarily on hold status with the uncertainty. Some of those are starting to free up. So we anticipate growing forward through the second quarter and into the second half of the year as what we see today.
Carlos de Alba: Thank you.
Operator: Your next question is from Tristan Gresser with PNB Paribas.
Tristan Gresser: Yes. Hi. Thank you for taking my question. Just a quick follow-up on the downstream side. Does that mean that with the visibility you have and backlogs into the end of the year, do you expect volumes to improve on a year-on-year basis? Starting Q2 or maybe in H2?
Theresa Wagler: Tristan, yes. We do expect to see, based on what we can tell today and the order activity and the current macro environment that we're all watching day to day, we absolutely expect volumes to be higher year over year.
Tristan Gresser: Alright. Thank you. And my question then is more on the demand side of the equation. Could you discuss a little bit by end markets what has been the recent developments since the tariffs were announced in early April? You mentioned you had a strong Q1, and now there is some uncertainty. So I'm curious to see the order activity, how it's been in the past two weeks. And also how we should, I mean, you had a very strong shipment figure in Q1. How we should think about shipments into Q2.
Barry Schneider: Yeah. Tristan, we continue to see a lot of real demand. In spite of all the uncertainty out there, there are a lot of customers that are actually looking to further their relationships with us. We've seen more growth in our longer-term contracts, people trying to cement their supply chains. And when you look at specific marketplaces like construction goods, our painted products are doing very well. We see resilient demand out there. We see opportunities for growth. With the HVAC industry. We support. We saw an uptick in February and March. And some of it we think was a little bit of a buy ahead of uncertainty of tariffs. But now we're seeing some demand fill back in there. So we continue to be pretty excited about what we see at HVAC. The appliance business we do is pretty steady. And I think that, much like automotive, depending on where you're at in those industries, your vision of them might be different. So our appliance vision is pretty strong right now. We're also very strong with automotive, the platforms that we are on are actually doing very well. So we saw Q1 kind of surge particularly with, you know, the North American players that we're associated with. So we remain very excited about that. We're seeing a lot of activity for pipe and tube, whether it's oil and gas or whether it's infrastructure. Those projects are starting to materialize, and there's real demand for some of these activities that have just kind of been put off. So we're excited about that, and you know, some of the rail business we do is also very steady. So last year was slow with class one railroads, but we're starting to see that pick up again in 2025 here. So, again, we see a lot of pockets where things are good. So in spite of the, perhaps, perception of the industry, people are still trying to make things go, and our team is really good. When things get tight like this, our relationships come back. And our relationships help support how we go forward. So in times like this, we're excited about the opportunity to grow. And to, you know, enrich those relationships we've worked so hard at building. So all in all, with what we see today, we're excited about where 2025 is going.
Tristan Gresser: Alright. That's very helpful. Just to confirm, normal seasonality in Q2 seems a fair base case? In terms of volumes.
Theresa Wagler: I'm sorry, Tristan. Can you say that again? Normal seasonality into Q2 for steel shipments seems like a fair assumption.
Tristan Gresser: So we've got a lot of different things happening right now to Barry's point. So we've got Sinton growing. We're gaining market share, and especially, the core cases can't be under-discussed as far as the positive impact. And since we're the largest coater of non-automotive flat-rolled steel in North America, it's specifically impactful to us in a very positive way. So I would not expect to see shipments go backward if that's what you're asking.
Tristan Gresser: Thank you. Thanks a lot.
Operator: Your next question is from Christ LaFemina with Jefferies.
Christ LaFemina: Hi. Thanks for taking my question. I actually have a kind of more of a strategic question. You've obviously spent a lot of time on your existing organic growth that's sitting in the aluminum mill and the value-add lines, all of which are getting close to the finish line now. So you're gonna start to generate higher through-cycle cash flows. You've talked about being excited about your current growth plans as well as your future growth plans. And I'm wondering what happens next? I mean, you know, you'll be presumably, you're on a higher through-cycle cash flow run rate. You've talked in the past about doing more in non-steel recycling, including, I think, you talked about in copper, for copper and aluminum. You've obviously been buying back shares as well. I mean, do we get into a situation where Steel Dynamics becomes an even bigger capital return story or is it about the next leg of growth? And then sorry. Secondly, on the next leg of growth, if you look at growing in the US steel industry, are you worried about investments from sparring steel mills building new capacity here to sort of circumvent tariffs and ultimately that leaving little opportunity for you to grow and steal domestically. So really just kind of a question around you.
Mark Millett: Well, I think as I mentioned earlier, we were absolutely blessed. We have a great team and the strategic initiatives they've put in place over the last five, ten, fifteen years is why we're we are here today. And as you rightfully say, we're gonna have a very, very strong cash position moving forward. As all these recent projects come to fruition. Gonna allow us a continued sort of balanced cash allocation strategy. I don't think it's gonna change. And we will use all the tools in our toolbox to improve shareholder value. I think you will see growth in aluminum for sure as you've seen it in steel. You know, a lot of the things that evolved through our life cycle in steel, you know, downstream value-add processing coating, painting, can be done in the aluminum world as well. That will continue. And steel itself, for sure, there's still plenty of opportunity there. Our teams are incredibly innovative. And there are market spaces and issues that we don't plan today, that we intend to penetrate. We don't grow just to be big. We always grow. If you look at both our organic and our in it we always differentiate ourselves, and you will continue to see that value-add sort of profile going forward.
Theresa Wagler: I would just add to that. Right now, and the teams are doing a period of execution and optimization of these larger growth projects that we've had. So we don't see billions of dollars of CapEx in the near term, but we do see the cash flow coming. So that will allow opportunities for shareholder returns to continue at a really strong rate. It also allows us though we don't wanna forget about the fact that we are acquisitive, so we do look at transactions from time to time as well. We're just really disciplined, and that's what differentiates us from our peers. So there's still a lot of opportunity for growth while distributing, I know, strong shareholder returns on a through-cycle basis.
Christ LaFemina: I guess I was also wondering in terms of the mechanism for capital returns and buybacks are nice, but, you know, having a higher three-cycle dividend that could be funded by the higher through-cycle cash flows might actually be an even more compelling point of differentiation. And how does the board and the management team think about the allocation of those capital returns and is it possible that you just go you change your dividend payout model based on the higher two-cycle cash flow? So thank you for answering my questions.
Theresa Wagler: Yeah. No worries. So from a dividend perspective, I mean, we've increased our dividend by over 100% in the last five years. So we definitely keep an eye on it, and we definitely know that it's important. But we grow the dividend when our cash flow structure fundamentally grows on a three-cycle basis. So you should expect to see dividend growth as you have seen in the past as we have more significant cash flow opportunities come to fruition through organic or transactional growth such as aluminum. Such as Sinton, you will see more significant dividend increases. So I think we are following that philosophy. We wanna keep dividends on an absolute basis, meaningful yet conservative, and we complement that with the share buybacks. So the board looks at it that way as does management because we wanna be responsible so that that dividend's never at risk.
Christ LaFemina: Great. Thanks again.
Operator: Your next question for today is from Bill Peterson with JPMorgan.
Bill Peterson: Hi. Good morning. Thanks for taking the questions. And, you know, nice job on the quarterly execution. I wanted to ask about downstream margins and how to think about it in the second quarter. You know, we think about the lag input costs, higher steel prices. Commit, will you think this will over the pricing stabilization or improvements you've spoken to about in the past? Trying to get a sense for us so we can think about margins in the quarter and looking ahead.
Theresa Wagler: Well, we generally as you know, Bill, don't give specific guidance as it relates to things like that. I would just point you to some of the drivers to consider. One of the drivers is that fabrication generally keeps eight to ten weeks of inventory or substrate inventory, maybe twelve weeks on the ground. So as we've had escalating flat-rolled steel prices, you will see higher steel input costs going into fabrication, but that can also be, you know, a premise or a driver for increased profitability or increased pricing on the product side. And we have seen stabilization there. So, you know, later in the year, we definitely think there's opportunity for growth. Whether that comes sooner or later, it's hard to say. The other thing that I would remind you of is that volume is really, really impactful in our fabrication operations because it really is about people. And so as you have more volume, that margin expands pretty dramatically, pretty quickly because of the cost compression. I can't give you specific guidance as it relates to the fabrication operations. I would just say for the year, we're feeling very strong.
Bill Peterson: Okay. Thanks for that.
Operator: Your next question is from Mike Harris with Goldman Sachs.
Mike Harris: Yes. Thanks and good morning. There was a couple of times during the call where my sound cut out. So if you answer this, I apologize in advance, but under the noncash adjustments, can you provide a bit more color on what's behind the $19 million in unrealized gain losses? And maybe speak to how we should think about the potential impact for the balance of 2025?
Theresa Wagler: Yeah. Absolutely. So, Mike, just real quick, clarification to make sure I'm answering your question, you're speaking about adjusted EBITDA. Correct?
Mike Harris: That's correct. Yeah. So that relates to we have a risk commodities team where we manage risk around the amount of scrap copper finished product copper at our copper rod and wire mill. And aluminum. And so that was just an unrealized loss. In the first quarter related to the sharp moves and non-ferrous pricing. Generally, that will come back then in the following quarter. So if you look at that quarter over quarter, you're gonna see over a period of a year, you know, eighteen months, twenty-four months, it doesn't have that much impact, but that's what it was related to specifically in the first quarter. It's just an unrealized hedging loss.
Mike Harris: Okay. So just the timing issue that nets itself out over the course of the year is a good way to look at it.
Theresa Wagler: That's a great way to look at it.
Mike Harris: Okay. Perfect. Thanks a lot.
Operator: Your next question for today is from Andrew Jones with UBS.
Andrew Jones: Can you hear me okay?
Operator: Hello? Are you there?
Andrew Jones: Yeah. I'm. Can you hear me?
Theresa Wagler: We can now.
Andrew Jones: Okay. Great. Thanks. Just a follow-up. I mean, you were asked earlier about the metallic exposure, and we heard your point that you can use more prime scrap to reduce that exposure. But can you give us an actual number for how much pig iron was consumed maybe in 2024 or your kind of expectations for 2025 with the ramp-up of Sinton, you know, prior to these coming in, just so we can get an idea for the impact going forward.
Barry Schneider: Andrew, that's a moving target for us. We all the time, are looking at the economic balance for what our raw material charges are. So when we speak to the fact that we're working on segregation sorting techniques, that allows us to get what would normally be cut grade scraps into a cleanliness level where we can use them more abundantly. So we are constantly making that decision each month. When it comes to pig iron, we look at that same balance. And in many cases, it helps the operations besides just quality. It also can be productivity enhancing. Our teams are really good at having different scrap mixes in the mills at every moment of the day. And having the right resources to make the best decision at the time. So we could go anywhere from 8% to 25% on pig iron, and we will make those decisions based on what the market pricings are of those different units. Our Butler, Indiana facility has an iron facility on-site, Iron Dynamics. That has been an outstanding asset to have. The last five years specifically. Because we're able to create iron for the Butler plant out of waste materials. So that technology has allowed us to be a little bit more independent. And down south, it's Sinton and Columbus. Those assets, again, are continually looking at what the product mix requires. And what the cost may be. So to this point, we've had great supply from our offshore pig iron suppliers. We've been very, you know, we continue to be transparent and have discussions. We think those pricing mechanisms will resound themselves through the year. So short term, we haven't done anything out of the ordinary. It's a large volume to just stock up on, and we don't wanna build our working capital, but we feel pretty good that as the situations unfold, we'll continue to find metallics at a competitive price. Everybody in the ArcFirst community is buying these same materials. It's a matter of how effectively you can use them on a day-to-day basis. And that's, again, where I think our team excels in being able to make those choices and be informed. A lot of hard work goes into doing that. So you know, the flatbed mills are the only mills that bring offshore metals in, the pig iron. All our long products mills are 100% scrap-based. So that's the impact if you look at what our flat roll is versus long roll.
Andrew Jones: No. That's great. That's great. And just to talk to you on that working capital point for you, the build that we saw in the quarter in working capital, is that purely a function of pricing with, you know, scrap and other inputs moving up through the quarter, or were there any other kind of overlays on that?
Theresa Wagler: No. Remember, the working capital build, if you exclude the one profit-sharing payment that gets paid every March every year, really only a build of about $100 million, and that really was associated with pricing moves. More on the steel side, actually. Than on metallics. And I guess the takeaway that we would want everyone on the call to have is that as it relates to our current position, raw materials, with demand, the entire kind of set of selling products and getting the raw materials in to sell those products, and the current tariffs that are in place, we feel really well positioned and we don't see a material financial impact to the negative. We actually just see a net upside as it relates to the customer's pricing, etcetera.
Andrew Jones: No. That's great. Okay. Thank you.
Operator: Your next question is from John Tumazos, a Private Investor.
John Tumazos: Thank you very much. Concerning your original business plan for the aluminum mill, with the current aluminum tariff economics, the Midwest premium doubled roughly from twenty to forty cents on the plus side. The UBC price had been about a thirty cent discount to LME, now it's only a nickel. When you balance out the input-output analysis, are the current economics better, the same, or worse than for your original business plan a couple of years ago?
Mark Millett: Great question. A convoluted algorithm to spit out the answer, John. I would say we feel that with the exception of the slab coming up from Mexico and we'll see how that pans out, the economics remain in place. Does that mean it's all wash? It's a wash with the exception of where the tariff impact might be on slab coming up from Mexico. Thank you. If I can ask him not. But as I said earlier, for this year, that's incremental because we're just ramping up and the volumes are gonna be small. And I don't believe that the current tariff regimen is gonna be in place much longer than through this year.
John Tumazos: In terms of the competitive landscape, I recall May 1992, my old firm raised a hundred million for the Haslet Caster in Davenport, Iowa for Quinex. Maybe that's owned by Alaris now. What are the aluminum rolling mills of thirty-year or younger vintage? Good competitors that you'll be competing with.
Theresa Wagler: So, John, if you're asking if there are North American rolling mills that are less of age than thirty years. Is that the question? Because I think.
John Tumazos: Yeah. Oh, I think Alaris built one. I'm just trying to remember what are the ones that are gonna be your newer competitors.
Mark Millett: Well, to be honest, I don't think there are going to be any close competitors to us. I mean, if you look at the technology, the scale, the efficiency, the increased recycle content that we're able to have. And just our culture, John, you've followed us for many, many, many years now. You know, the combination of taking state-of-the-art technology and just explaining it with people that are impassioned that are incented, to drive every cent out of the cost structure and maximize metal spread. We are confident in the investment premise that we put forth.
John Tumazos: Yeah. It's been. Thank you. Hats off to everything you're doing. Congratulations.
Mark Millett: Over is like, forty or forty-five years. Since there's been a meaningful high-tech expansion. And like I said, it earlier, it is reminiscent, you know, for us gray hairs that have been around for a while. It's reminiscent of us getting into the steel business thirty years ago, you know, back then, the prior mill was Burns Harbor, you know, 1961. I mean, it's the same set of circumstances. That we're gonna hopefully disrupt.
Operator: That concludes our question and answer session. I'd now like to turn the call back to Mr. Millett for closing remarks.
Mark Millett: Super. Thank you, Holly. And I will be quick, but for our employees that remain on the call, again, absolute heartfelt thanks for what you do each and every day for us. Thank you for your commitment and your passion and my sincere wish that you stay safe. Again, thank you to the customers and service providers. For those that are shareholders, again, thank you for your trust and your support. We too are large shareholders, so we know exactly how you think, I believe. And we work on your behalf each and every day to improve your balance. So thank you. Everyone be safe. Take care. Bye-bye.
Operator: Once again, ladies and gentlemen, that concludes today's call. Thank you for your participation, and have a great and safe day.